Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to LivePerson's Third Quarter 2023 Earnings Conference Call. My name is Deney, and I will be your conference operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, the management team from LivePerson will conduct a question-and-answer session and conference participants will be given instructions at that time. To give everyone the opportunity to participate, please limit yourself to one question and one follow-up. As a reminder, this conference is being recorded. I would now like to turn the conference call over to Mr. Chad Cooper, Senior Vice President of Investor Relations. Please go ahead, sir.
Chad Cooper: Thank you, Deney. Joining me on the call today is John Collins, Interim CEO and CFO. Please note that during today's call, we will make forward-looking statements, which are predictions, projections and other statements about future results. These statements are based on our current expectations and assumptions as of today, November 8, 2023 and are subject to risks and uncertainties. Actual results may differ materially due to various factors, including those described in today's earnings press release and the comments made during this conference call as well as in 10-Ks, 10-Qs and other reports we file from time to time with the SEC. We assume no obligation to update any forward-looking statements. Also during this call, we will discuss certain non-GAAP financial measures. Reconciliations of GAAP to non-GAAP financial measures is included in today's earnings press release. Both the press release and supplemental slides, which include highlights for the quarter are available on the Investor Relations section of LivePerson's website. With that, I will turn the call over to John. John?
John Collins : Thank you, Chad. And thank you all for joining us today. I'll begin with a brief recap of recent changes to the business, followed by an update on strategy and customer wins, and conclude with a discussion of third quarter financials and guidance. Several years ago, LivePerson envisioned that asynchronous messaging and AI-powered automation would become the channels of the future for customer service and support. Time savings, convenience, and dynamic visual content make messaging a superior consumer experience to voice, while AI-powered automation enables cost-effective scalability for the enterprise. We embraced this vision, re-platform the business, and emerged as the leading provider of asynchronous messaging and conversational AI for many of the world's largest enterprises. Today, LivePerson is arguably the most scaled provider of messaging and AI-powered automation for customer service and support, but we believe our current growth and profitability do not reflect the market opportunity. During the pandemic, we made several opportunistic investments into non-core business lines that reduced our focus and ability to allocate resources effectively, recognizing the need for change. We began a multi-quarter restructuring process last year that included shuttering or divesting non-core businesses and right-sizing our cost structure, which enabled LivePerson to return to profitability last quarter. Since last quarter, we have refocused the company on our core strengths, those that have delivered a meaningful return on investment to our enterprise customers by enabling them to efficiently shift legacy voice interactions to digital channels and AI-powered automation. Based on projections available from Gartner and Forrester, the combined markets for conversational AI and customer service and support are estimated to grow approximately 20% year-over-year in 2024. Considering the demonstrable return on investment our customers are realizing and growing traction we're seeing with generative AI, which I'll elaborate on shortly, we are well positioned to meet this growing demand. Our return to core strengths embraces the key reasons large enterprises continue to choose LivePerson as their trusted partner, including our enterprise proven platform, agent workspace and open architecture for third-party AI, extensive voice to customer data set, unified voice and messaging analytics, managed services for enterprise digital transformation, and guardrails for human-in-the-loop feedback that enable safe and secure adoption of generative AI. Because of these platform strengths and the demonstrable return on investment that they unlock for our customers, shifting legacy voice interactions to messaging and AI-powered automation continues to be the most compelling market opportunity for LivePerson. Significantly, growing traction with generative AI is also driving increased platform usage, new logo acquisition, expansions and renewals. To elaborate briefly on that trend, as a reminder, we launched a suite of generative AI enhancements to the platform in May, including voice AI, which meaningfully enhanced our ability to ship legacy voice interactions into digital channels and AI-powered automation. Since then, we've seen many of our customers leverage voice AI for precisely this use case, validating the continued consumer preference for digital channels over legacy voice. For example, a large hospital customer who was an early adopter of voice AI is using voice automation to deflect 40% of voice calls to messaging, which meaningfully reduces costs and time to resolution. Voice AI is also delivering a return on investment in applications that directly interface with the end customer, including a customer using voice automation to call leads from the CRM asking serious questions and determining the next best action. An aerospace customer is also using voice automation integrated with large language models to help customers find and purchase relevant tools and components. In addition, we're seeing strong adoption for internal use of generative AI, including co-pilot or agent assist, which improves productivity and summarization, which reveals actionable insights for optimizing customer service experience and cost-efficiently scaling service interactions through automation. In terms of new deals, where generative AI was essential, In the third quarter, we signed a seven-figure new logo and a seven-figure renewal. And early in the fourth quarter, we signed a seven-figure expansion with one of the world's largest banks. We're also observing a sequential increase in platform uses attributable to generative AI, reinforcing that the renewed focus on our B2B Core strengths, coupled with strategic investments in generative AI, have strongly positioned us to meet accelerating enterprise demand for digital transformation and AI-powered automation. As for overall customer wins, we signed a total of 50 deals in the third quarter, including four seven-figure deals, three of which were new logos, 31 expansions in renewals, and 19 new logos overall. Enterprise bookings were up sequentially, with total bookings approximately consistent with the second quarter. In terms of trends, LivePerson continues to be a platform of choice for financial services. In the third quarter, we signed two large credit unions as new logos, one with over 300,000 members and assets totaling $5 billion. We also signed a key financial services expansion and renewal, including a seven-figure upsell with a leading Australian bank, and two partner-led expansions with a large European-based multinational bank and a leading South African digital bank. As I mentioned a moment ago, one of the world's largest banks recommitted to LivePerson early in the fourth quarter, signing a four-year eight-figure TCV renewal, including a seven-figure upsell to leverage recently launched generative AI capabilities, alongside expanded adoption of the wider platform. In the third quarter, we also signed a seven-figure new logo win to power a conversational marketplace, and renewals and expansions with a leading cruise line and an amusement park and entertainment business. Notably, we continue to see strategic renewal, expansion, and new logo wins against strong competition in the third quarter, including against Salesforce, Cisco, Genesis, and Google Dialogflow. Looking to build on this go-to-market momentum, I want to note that our in-person, executive events have historically accelerated the sales cycle with customers and prospects. Next week on November 14th, we will be hosting more than 1,000 people at a hybrid in-person virtual customer event called Spark. During which we will unveil our new conversational intelligence suite, which includes report center, analytics studio and our latest LLM powered innovation, generative insights. Before moving on to our third quarter financials, I also want to provide an update on our partner strategy and its impact on our go-to-market motion. As CIOs drive transformational initiatives across the enterprise, they are challenging strategic partners like LivePerson to build an open and flexible architecture. We built our platform to be agnostic to the source of AI and develop leading AI orchestration capabilities across the customer service suite. LivePerson's open platform lets brand seamlessly couple our conversational insights, AI and agent engagements with channels, AI and automation, from key partners like Meta, Apple, Amazon, Microsoft, and Google. This is a powerful solution that enables LivePerson to capture greater enterprise volumes by providing differentiated cross-platform orchestration for consumer interactions. To further extend our open platform, we launched the partner marketplace in the second quarter of this year, which gained meaningful momentum in the third quarter when we closed a seven-figure deal with a new partner that enables real-time personalization via third-party CDP integration. A large bank adopted our Salesforce marketing cloud integration, which is expected to drive 5 million annual proactive engagements for the bank. And a large telco adopted our Affiniti integration and is already seeing millions in incremental monthly revenue, which we monetize through a revenue sharing agreement. In addition, innovative systems integrators and DPOs are positioning LivePerson as the center of a digital-first architecture to accelerate migration from legacy contacts and vendors, and as an alternative to voice-centric CCAST providers who are not optimized for asynchronous operations. In the third quarter, we partnered with a top five global consulting firm on AI-focused services programs for two of Australia's largest telcos, totaling seven figures in value. And as mentioned earlier, multiple leading international banks also expanded their business through partners. Given market trends and momentum in our partner ecosystem, we plan to continue strategic investments into partners and integrations to fuel growth going forward. As for third quarter financial results, total revenue was $101.3 million at the top end of our guidance range. As discussed last quarter, we expected a high seven-figure revenue contribution from Medicare reimbursement in the third quarter. This value was approximately $7 million. B2B Core recurring revenue was 84% of total revenue, and non-GAAP gross margin improved approximately 400 basis points sequentially to 77.9%. Adjusted EBITDA of $10.69 million was consistent with the expectations we set last quarter, landing above the midpoint of our guidance range. Turning to our standard financial reporting segments, within total revenue for the third quarter, revenue for B2B declined 4% year-over-year, and revenue from hosted software declined 16% year-over-year. As discussed in prior quarters, the primary drivers of these declines were the wind down of non-core business lines, including COVID-19 testing, Gainshare labor, and pandemic-driven Gainshare variable revenue. Normalizing for these business changes, total B2B Core revenue declined 1%, while B2B Core recurring revenue within hosted grew 4% year-over-year, driven by upsells with existing customers. Professional services revenue declined 49% year-over-year driven by the completion of the engagement with the Claire JV in the first quarter. Excluding revenue from the Claire JV, professional services revenue declined 10% year-over-year driven by the onetime fee from a major telco customer in the third quarter of last year. From a geographic perspective, US revenue declined 20% year-over-year, while international revenue declined 3%. Again, the primary driver of these declines was the wind-down of non-core business lines, including revenue related to the Claire JV, the Gainshare labor, and pandemic driven Gainshare variable Revenue. Net revenue retention was below our target range of 105% to 115%, but up sequentially, consistent with previously set expectations. We continue to expect sequential improvement in net revenue retention in the fourth quarter. RPO decreased 27% year-of-year to $313 million due primarily to completing the professional services engagement for the Claire JV. For the third quarter, ARPC grew 13% to $595,000, driven in part by upsells from our largest customers. In terms of guidance, for revenue in the full year 2023, we are maintaining our midpoint of $394 million, but narrowing the range to $389 million to $399 million. This range is exclusive of the $7.2 million contribution from Kasamba in the first quarter of this year. Inclusive of the first quarter revenue contribution from Kasamba, we expect 2023 revenue to range from $396 million to $406 million. As for B2B Core recurring revenue, we expect it to equal approximately 86% of total revenue consistent with previously set expectations. For a full year adjusted EBITDA, we are maintaining our midpoint of $25.5 million, but narrowing our range to $22 million to $29 million. The implication for revenue in the fourth quarter is a range of $89.7 million to $99.7 million. The sequential decline in revenue is primarily attributable to the one-time medical reimbursement we recognize in the third quarter. We expect B2B Core recurring revenue to equal approximately 89% of total revenue in the fourth quarter. As for adjusted EBITDA, in the fourth quarter, we expect a range of $0 million to $7 million. To conclude, our results today demonstrate another quarter of execution consistent with prior guidance. Notably, we have right-sized our cost structure, returned to profitability, and effectively reallocated people and capital to drive growth from our B2B Core platform, which has a strong record of delivering meaningful return on investment to our enterprise customers by enabling them to efficiently ship legacy voice interactions to digital channels in AI-powered automation. Strategic investments in generative AI and our partner ecosystem have meaningfully contributed to new logo wins, expansions, and renewals in the last two quarters. And, as discussed, this trend is continuing in the fourth quarter. Looking forward, thanks to the commitment and innovative work of the entire LivePerson team, we are well positioned to meet accelerating customer demand for digital transformation and AI-powered automation. And with that, I think we can open the line for Q&A. Operator?
Operator: [Operator Instructions] The first question that we have comes from Ryan MacDonald from Needham & Co.
Ryan MacDonald: Thanks for taking my question and congrats on the solid quarter here. John, I'm just curious, you talked about some of the vertical strength in the quarter and good to see financial services and some nice telco deals. As you look across the verticals and sort of willingness and sort of demand for the new AI solutions, how much comfort are you seeing in terms of adoption at this point versus more of just being in the evaluation phase? And as you think about that within the competitive dynamic, do you think that's helping or hurting the business at this point? Thanks.
John Collins: Hey, Ryan. I think as I discussed in the prepared remarks, we are seeing real net new economics from generative AI. We're signing new logos and retaining business and expanding business because of the new capabilities that we have with generative AI and in relation to the third parties that we're working with, the partnership strategy that we have, some of those relationships that are driving seven figures of value this year are directly related and even solely related to generative AI applications. So it's much more than just testing at this stage.
Ryan MacDonald: So maybe just as a follow-up, I'm interested to hear about the Spark event coming up next week and sort of new unveiling of the new suite here. When should we expect in terms of the rollout timeframe for the new suite after you introduce it next week? Thanks.
John Collins: Yes, we expect some of these products to be GA at the event. So it will be an exciting time to see how customers can leverage those. And again, generally available in November.
Operator: The next question we have comes from Peter Levine from Evercore.
Peter Levine: Great. Thanks for taking my questions here. Maybe the first one, John, can you maybe talk to us directionally about net retention, even gross retention mid-marketing below and how that differs from the enterprise? If you're seeing any --
John Collins: Yes, sure hit there. Yes, we have refocused the business in a lot of ways on the core, and the essence of that core is really our enterprise base. So we're talking here kind of mid-six figure, and above type customers with thousands of seats. As we go down market to the lower end of mid-market and small business, we have strategically placed less focus there just given resource constraints. So NRR or GRR both are lower at that end of our customer base than in the enterprise.
Peter Levine: Thanks. And then I guess the follow-up to Ryan's question around, I think the monetization of these new GenAI products is, how much of the products would you view as more of a retention tool versus like an ARPU uplift, or is it the reverse, where you can actually get higher ARPU from these customers? Just obviously given the competitive landscape where this market is going, curious though how your pricing or how your customers are actually doing it.
John Collins: Yes, it's a mix for sure. I mean, to some extent, we've had some customers that renewed or expanded two years ago during the height of the pandemic and had very large volume expectations that as we've discussed in prior quarters weren't necessarily being met this year, hence some of the headwind to NRR. However, with Generative AI, we're starting to see those customers reaccelerate their overall volume because the use cases are so compelling. So to some extent, it's helping in that regard, but as I mentioned in response to an earlier question, it's also driving net new business. And so that is taking the form of new volume on the platform that's facing the end customer, but also internal use cases to increase internal agent productivity like copilot and summarization.
Peter Levine: Perfect. If I could squeeze one final one in, I know you have been guided to calendar ’24 but directionally when does the model kind of trough out and we can see start to see revenue re-acceleration? Thank you.
John Collins: Yes, I obviously will have more to share on 2024 and when we print the fourth quarter and come back on this call in February. Broadly speaking though, I think we're beginning to see rebuild of that momentum and go to market. Clearly, the metrics have been sequentially improving over the last two quarters and I expect that general trend to continue.
Operator: [Operator Instructions] The next question we have comes from Zach Cummins from B. Riley Securities.
Zach Cummins: Hi, John. Thanks for taking my questions. Can you just walk us through some of the assumptions for your Q4 revenue guidance? I know you have some Medicare payments that likely are not going to be occurring again in Q4, but just curious on assumptions for both revenue and adjusted EBITDA guidance.
John Collins: Yes. Hey, Zach. So we do have potentially some small amount, $1 million to $2 million worth of additional Medicare payments that may come through in the fourth quarter. We also are monitoring the timing of delivery of certain larger professional services engagements. And then as is typical in the fourth quarter, it is our peak season for most customers. And so we tend to have higher reserves during that peak season. Conservatively speaking, we have a wider range there, but given the trend, the general trend of stability being very high and improving sequentially over time, we don't necessarily expect those reserves, but there are some conservatisms built into the range for that reason as well.
Zach Cummins: Understood. And I know there was a question around kind of the potential timeline to see a trough in the top line of the business. How are you thinking about just managing margins here over the next several quarters? I know you've done a great job of really rationalizing costs in the last few quarters. So what is your approach to balancing that profitability versus maybe continuing to invest in some of the strong demand you've seen on the GenAI side?
John Collins: Yes, I think we've done the hard work, right. We've had essentially ongoing restructuring since Q1 of 2022 culminating in a large event in Q1 of 2023. We've wound down the non-core business lines, and most of that is behind us now. So I think we're in a good position in terms of the cost structure to try to improve profitability through top line growth. And as I mentioned before, while we're not ready to guide 2024, I think it's important to understand that we've had sequential improvement over the last two quarters and that we expect that to continue. So broadly speaking, I think the cost structure was in a reasonable place after a lot of hard work and we're now refocused on the core to drive top line to improve profitability.
Operator: The final question we have comes from Mark Schappel from Loop Capital Markets.
Mark Schappel : Hi, thanks for taking my question. And John, just wonder if you just give us a brief update on how you think the salesforce is progressing here, particularly given the earlier restructuring and strategy changes over the past year?
John Collins: Yes, we're holding a quarter carrier headcount flat, and these are all ramped quarter carriers, quarter-over-quarter. We're seeing, as I alluded to in the last call, some increased qualified pipeline entering the fourth quarter relative to what we had entering the third quarter. And so broadly speaking, there's indicators that we're rebuilding that go-to-market momentum. And I highlighted some of that in the prepared remarks, both in terms of trends and financial services, but also within our partner ecosystem, which is adding tangible impact. So broadly speaking, I think productivity is improving. Our efficiency with respect to marketing spend is improving as well. And we have, again, slightly more pipeline entering the fourth quarter than we did entering the third. So indicators are positive here.
Mark Schappel : Great. Thanks. And I realize Wild Health is less of a focus these days, but I was wondering if you just give us an update on that business in the quarter and just your general thoughts on how you view the business.
John Collins: Yes, as we've discussed previously, Wild Health is a valuable asset to a LivePerson, but not necessarily strategic to its core and is run on a standalone basis at this time. I don't have further updates beyond what I had provided previously for Wild Health's growth, which has moderated relative to the expectations we had very early in the year when we first launched in 2023, but remain consistent with the expectations we set last quarter.
Operator: The next question we have comes from Jeff Van from Craig-Hallum Capital Group.
Jeff Van: Great. Thanks, John on Wild Health, just I guess two off-shoot questions. One, what was the margin on that business? What was the impact from a gross margin that was highly profitable revenue? And then somewhat of a tail to that question is, how are you thinking about gross margins for Q4?
John Collins: Yes, Hey, Jeff. So the, as you just to recap, we took all of the expense for the Wild Health based Medicare revenue that didn't occur in Q4. And in Q3, we don't have that expense. So there's clearly a bump to non-GAAP gross margins as a result of that one-time Medicare reimbursement, which we recognize, $7 million in the third quarter. So that moved the needle for gross margin up by one to two points. So as we think about gross margin on a normalized basis, it would be within 76% to 78% that we expect broadly for the business in the fourth quarter independent of the Wild Health contribution.
Jeff Van: Okay, very helpful. And then on the retention, I know the goal is 105 to 15 maybe just expand on that a bit. I mean, how close are you to 100? Why are you below 100? Where are customers going if they're leaving? Is it just less usage? Just maybe a little expansion on the retention, where you are, where you're going, and why we're where we are now?
John Collins: Yes, I think the lot of reasons for why we are, where we are at the moment, a lot of it relates to a defocusing and restructuring wind down of non-core, and just a lot of some all that fortunately is in the rearview mirror now, and we're rebuilding that good market motion. And I think the indicators are positive, as I mentioned previously. To be more specific, a lot of the NRR headwind relates to lower volumes coming off the forecast from the pandemic that they're renewing now, rather than full-on cancellations moving elsewhere. And then I think with regard to the expectations moving forward, as I mentioned in relation to a question earlier, there is a blended NRR that we're reporting here, which includes some of the lower end of the market that we service, lower end of mid-market, and some of those customers are not really where we're putting a lot of support at the moment. And so if we were to isolate the enterprise customer base, that NRR would be much closer, if not within the range that we have, but the wider blended rate is still below that 105 target. Again, though, we expect sequential improvement moving forward.
Jeff Van: And just one follow-up on the volumes, the post-pandemic volume resets. I mean, is there a way to quantify like what percent of the contracts are reset to rational volume levels for what they're actually consuming as opposed to pandemic. How far through that transition are we?
John Collins: I think we'll be fully through that transition by first or second quarter of next year, Jeff.
Jeff Van: Okay. And then if I could just one last one, sorry. And on bookings, I know last quarter you said it was the best bookings quarter, I believe since early ‘22, if I caught it on this call, you said this was up sequentially from that number. How are the bookings this quarter relative to expectations relative to a year earlier? And I know it's a multi-part question, but the customer count is down. Do you think that's going to continue, you're just going to post bigger deals or do you expect that to reverse?
John Collins: Yes, a couple of clarifications. So in the prepared remarks, I said that overall bookings were consistent, approximately consistent with last quarter, but enterprise deal values were actually up sequentially. So despite the lower deal counts, again, emphasizing the strategic focus on our enterprise customer base, we did increase overall ACV sequentially while bookings were approximately the same.
Operator: Thank you. Ladies and gentlemen, we have reached the end of our call today. Thank you for joining us. You may now disconnect your lines.